Operator: Good morning and welcome, ladies and gentlemen to the Helen of Troy Third Quarter Earnings Call for fiscal 2007. At this time, I would like to inform you that all participants are in a listen-only mode. At the request of the Company, we will open the conference up for questions and answers after the presentation. Our speakers for this morning's conference call are, Gerald Rubin, Chairman, Chief Executive Officer and President; Thomas Benson, Senior Vice President and Chief Financial Officer; and Robert Spear, Senior Vice President and Chief Information Officer. I will now turn the conference over to Robert Spear. Please go ahead, sir.
Robert Spear: Good morning everyone and welcome to Helen of Troy's third quarter earnings conference call for fiscal 2007. The agenda for this morning's conference call is as follows. We'll have a brief forward-looking statement review, followed by Mr. Rubin, who will discuss our third quarter earnings release and related results of operations for Helen of Troy, followed by financial review of our income statement and balance sheet for the quarter by Tom Benson, our Chief Financial Officer and finally, we'll open it up for a question-and-answer session for those of you with any further questions. First, Safe Harbor statement. This conference call may contain certain forward-looking statements that are based on management's current expectation with respect to future events or financial performance. A number of risks or uncertainties could cause actual results to differ materially from historical or anticipated results. Generally the words anticipates, believes, expects, and other similar words identify forward-looking statements. The Company cautions listeners to not place undue reliance on forward-looking statements. Forward-looking statements are subject to risks that could cause such statements to differ materially from actual results. Factors that could cause actual results to differ from those anticipated are described in the Company's Form 10-Q, filed with the Securities and Exchange Commission for the third quarter fiscal year 2007, ended November 30, 2006. Before I turn the conference call over to our Chairman, Mr. Rubin, I would like to inform all interested parties that a copy of today's earnings release has been posted to our web site at www.hotus.com. The release can be accessed by selecting the Investor Relations tab on our home page, and then the News tab. I will now turn the conference over to Mr. Gerald Rubin, Chairman, CEO and President of Helen of Troy.
Gerald Rubin: Thank you Bob, and good morning to everybody and welcome to our third quarter conference call. Helen of Troy Limited today reported sales and net earnings for the quarter ended November 30, 2006. Third quarter sales increased 8% to $213,437,000 versus sales of $197,458,000 in the period of the prior year. Third quarter earnings before income tax increased 7% to $25.5 million from $23.8 million in the prior year quarter. Third quarter net earnings were $22.8 million or $0.72 per fully diluted share, compared to $22.7 million or $0.72 per fully diluted share for the same period a year earlier, an increase in net earnings of 1%. Sales for the net -- for the nine months ending November 30, 2006 increased 8% to $491 million versus $455 million for the previous year. Net earnings for the first nine months of this year were $40,366,000 or $1.28 per diluted share versus $42,666,000 or $1.34 per share in the same period of last year. Third quarter earnings before Interest, Taxes, Depreciation and Amortization, EBITDA, increased 8% to $33 million versus $30.6 million from the -- for the prior year quarter. EBITDA for the nine month period increased 4% to $68.3 million compared to $65.8 million for the same period of prior year. For the third quarter, sales in our Personal Care segment increased 8% to $174 million compared with a $161 million for the same period last year. Net sales in the Personal Care segment for the nine month period increased 8% to $390 million compared to $362 million for the same period last year. Net sales in our Housewares Segment for the third fiscal quarter increased 9% to $39,700,000 compared with $36,500,000 for the same period last year. Net sales for the Housewares Segment for the nine month period increased 9% to a $101 million compared to $93 million for the same period last year. We are very pleased with our sales increase for the quarter and for the year. But our gross margin -- there was gross margin pressure in both the Personal Care and Housewares segment and expenses associated with the OXO warehouse transition and related shipping difficulties impacted our overall operating margins and negatively impacted our net earnings for the quarter and year. The increased expenses related to -- operating two warehouses will continue through this year's fourth quarter, but we do not expect to incur these additional warehouse expenses in the next fiscal year as we plan to be out of our old warehouse by March 1st. As of November 30th, Helen of Troy's balance sheet remains strong with stockholders equity of $515.7 million or 10% from the comparable period last year. Our cash position as of November 30th stood at $59 million versus cash of $20 million in the prior year, an increase of $39 million. Our inventories at November 30th declined 21% to $146 million versus $185 million, a decrease of $38.5 million for the same period in the prior year, while sales increased by 8%. This was one of our company objectives to lower our inventory and we have achieved a major reduction in our inventory by lowering the inventory almost $39 million. For the fourth quarter ending February 28, 2007, we currently expect overall sales to be in the range of $135 million to $140 million compared to last year's fourth quarter sales of $134.5 million. Earnings per share for the fourth quarter are currently expected to be in the range of $0.25 to $0.30 per diluted share versus the prior year's fourth quarter earnings of $0.21 per diluted share. Sales for the fiscal year ending February 28, 2007 are currently expected to be in the range of $626 million to $630 million. With earnings per share anticipated to be in the range of $1.53 to $1.58 versus our previous guidance of $1.70 to $1.80. For the fiscal year beginning March 1, 2007, we are providing guidance of annual sales in excess of $660 million and annual earnings in excess of $2 per diluted share. We believe these increases will be driven by new product introductions, reductions in non-recurring expenses and more efficient operations. Some of our specific objectives for fiscal 2008 that we believe should help us drive expected increases in sales and net earnings are as follows. The placement and sales of Bed Head by TIGI and Toni & Guy appliances both domestically and internationally. This is a new license that we can talk about later, expansion of Fusion Tool appliance placement and sales in the professional salon distribution channels. Lower warehouse shipping and transportation expenses as our staff gains efficiencies through experience and the elimination of expenses associated with our currently leased 619,000 square foot warehouse at the beginning of the new fiscal year. New OXO product introductions including but not limited to the Candela line of rechargeable lighting products, as well as expanded international OXO distribution and placement in the regional markets of the UK, England and Japan. Increased profitability for Idelle Labs and international appliance sales, as expenses are reduced over prior year and expected sales of higher margin goods that will favorably impact the overall sales mix. Expanded distribution in the brush, comb, and accessory category and price increases to customers in several of our Personal Care and Housewares categories are going to effect next year. We especially believe that the new Bed Head by TIGI product line of appliances and related products has significant future growth potential and we are very excited that this new line of products will now become -- will become a major contributor to Helen of Troy’s overall future increased profitability. I would now like to turn this conference call over to Tom Benson, our CFO who will do the financial review.
Thomas Benson: Thank you, Jerry, and good morning everyone. We are pleased with our sales performance for the third quarter but are still having gross profit pressure in higher selling, general and administrative expenses as a result of our domestic warehouse transition. Third quarter net sales increased 8% year-over-year. Sales for the third quarter of fiscal 2007 were $213.4 million compared to $197.5 million in the prior year. This is an increase of $15.9 million or 8%. I will discuss the reasons for the sales increase under our segment Net Sales Information. Our third quarter operating income increased 1.6% year-over-year. Operating income for this third quarter of fiscal 2007 was $29.1 million, which is 13.6% of sales compared to $28.6 million, which is 14.5% of sales in the prior year fiscal quarter. This represents an increase of $500,000 or 1.6%. Third quarter net income increased 1% in dollar terms year-over-year. Net income for the third quarter of fiscal 2007 was $22.8 million, which is 10.7% of sales compared to $22.7 million, which is 11.5% of sales in the prior year quarter. This represents an increase of $100,000 or 0.6%. The third quarter diluted earnings per share was $0.72 this fiscal quarter compared to $0.72 in the year-ago fiscal quarter. Now I’ll provide a more detailed review of the various components of our financial performance. Our Housewares segment is the OXO business. OXO is a leader in providing innovative consumer product tools in a variety of areas including kitchen, cleaning, barbecue, barware, garden, automotive, hardware, storage and organization. Brands that we sell include OXO Good Grips, OXO Steel and OXO SoftWorks. The Housewares segment's net sales for the third fiscal quarter in 2007 were $39.7 million compared to $36.5 million in the year-ago quarter. This represents an increase of $3.2 million or 9%. Sales increases have been primarily driven by continued new product introductions with existing customers as well as new distribution in the grocery channel. Our other segment is our personal care segment and includes the following product lines. Appliances; products in this group include hair dryers, curling irons, thermal brushes, hair straighteners, massagers, spa products, foot baths, and electric clippers and trimmers. Key brands in appliance include Revlon, Vidal Sassoon, Sunbeam, Health-o-Meter, Dr. Scholl's, Hot Tools and Wigo. Grooming, skincare, and hair products are included in the personal care segment and consist of the following brands. Brut, Sea Breeze, Skin Milk, Vitalis, Ammens, Condition 3-in-1, Final Net and Vitapointe. Brushes, comb, and accessories are also included in the personal care segment. Key brands in the product category include Revlon, Vidal Sassoon and Karina. The personal care segment net sales for the third quarter of fiscal 2007 were $173.7 million compared to $161 million in the prior year fiscal quarter. This represents an increase of $12.7 million or 8%. Net sales increases were result of new product and introductions including Fusion Tools, Brut Revolution and Toni & Guy brand appliances and unit volume and price increases. Gross profit for the third quarter was $91.5 million, which is 42.9% of sales compared to $86 million or 43.6% of sales in the prior year quarter. This represents an increase of $5.4 million or 6.3% dollar growth. The decrease in gross profit percentage of 0.7 percentage points is primarily due to a combination of the Housewares segment expansion into a higher unit, lower margin product lines, more direct import sales which are sold at a lower margin and product cost increases. Selling, general and administrative expenses for the third quarter increased 0.1 percentage point as a percent of the sales. SG&A expense was $62.4 million for the third fiscal quarter of 2007, which is 29.2% of sales compared to $57.4 million, 29.1% of sales in the prior year fiscal quarter. This is a increase of $5 million or 0.1 percentage point. The increase in SG&A percentage is primarily due to the impact of increases in depreciation, higher facility related cost, and compliance charges from the operational transition of our domestic distribution system, as well as increased personnel cost. Interest expense is up $228,000 for the quarter, due to higher interest rates and debt. Total debt was down $67 million at November 30, 2006, compared to November 30, 2005. Our tax expense for the third fiscal quarter of 2007 was $2.7 million, which is 10.5% of income before taxes. This compares to $1.1 million or 4.6% of income before taxes, in the prior year quarter. The effective tax rate is up 5.9 percentage points compared to the prior year. We believe a 10% to 12% rate is a normalized rate. Last year’s tax rate was low due to lower income in the United States and losses in Europe, which are both high tax-rate jurisdictions. I will now discuss our financial position. Our cash balance was $59 million at November 30, 2006 compared to $20 million in the prior year. We have a $75 million revolving line of credit in place of which we have no borrowings. Our cash position as of today is approximately $70 million and that is after a $10 million debt repayment we made in the last week. Accounts receivable increased $2.8 million year-over-year. On a trailing 12-month basis, accounts receivable days outstanding decreased to 78.5 days in November 30, 2006, compared to 85.7 days at November 30, 2005. On a current sales basis, accounts receivable days outstanding are 69 days, compared to 74 days a year ago, an improvement of five days. Inventories in November 30, 2006, decreased $38.6 million from November 30, 2005. As Jerry mentioned, that was one of our initiatives to this -- for this year and we have accomplished our goal. Shareholders equity increased $46.8 million to $515.7 million at November 30th, 2006 compared to November 30th, 2005. I will now turn it over to Jerry for additional comments and questions.
Gerald Rubin: Operator, I would like to open the floor for questions.
Operator: Thanks very much. The question-and-answer session will begin now. (Operator Instructions). And our first question comes from Kathleen Reed, Stanford Financial.
Kathleen Reed - Stanford Financial: Good morning.
Gerald Rubin: Good morning.
Kathleen Reed - Stanford Financial: First question on the warehouse, I guess and then move to the one new facility. Can you just tell us what the total charges are for that you expect to incur in fiscal '07? What actually are the problems, I guess if it still is OXO, it sounds like Idelle Labs is transitioning fine and if you are still on track to -- or if you already are moving the Personal Care appliances business to that new center, I guess in your fourth quarter, so that would be now?
Gerald Rubin: Okay. We are in the middle of the transition of the Personal Care appliance business over to the new warehouse. It's currently going very well. As most people know, the initial opening of that warehouse opened late last year, where we moved our grooming and skincare business into it in late December. Then in early calendar 2006 we moved our OXO inventory in it. The startup of the OXO was troubling for us and as a result of that we made a decision to leave our appliance inventory in the old warehouse. Currently, we expect to be out of the old warehouse by the end of February and not to incur both the duplicate warehouse costs and also the cost of transition next year. We're not putting specific numbers out on those cost, but they were in the millions of dollars this year that we do not expect to incur next year.
Kathleen Reed - Stanford Financial: Okay. Are you still -- you had given savings from the new warehouse in the $8 million to $10 million range, I guess on an annualized basis? Is that still a good run rate to use for fiscal '08 from your new facility?
Gerald Rubin: When we gave that $8 million to $10 million savings out, we said that was savings on SG&A including the warehouse and other costs. Some of those savings have already been achieved in this fiscal year and other -- the remaining ones will really be the warehouse costs and some of the startup costs associated that we are anticipating achieving next year.
Kathleen Reed - Stanford Financial: Okay. Can you -- not just keep asking about the warehouse, but it sounds -- because it sounds like your sales did real well this quarter, but can you breakout if there were any warehouse costs in your gross margin line if they were all in your SG&A line and you usually, in your SG&A line give us a -- since it increased $5 million, you usually breakout the components of the SG&A year-over-year increase, can you do that for us this quarter?
Gerald Rubin: In our gross profit line, there is no meaningful impact from the warehouse transition. In earlier quarters, there were concessions we made to certain customers, but those had ended by the time we got into this third quarter. Our SG&A costs do have higher warehousing costs as a result of this ongoing transition and we expect that in the fourth quarter we're going to have -- again as I said, some of these duplicate costs, and starting the first quarter next year, some of them will be gone, some of our ongoing employee training and efficiencies will still continue in the early part of next year.
Kathleen Reed - Stanford Financial: Okay. And is that the reason -- part of the reason that your Personal Care appliances transition is easier. Was that -- were you sourcing that one and the other one in Mississippi already, or somewhere in Texas and isn't it -- wasn't it the OXO, when it had to come all the way from Illinois?
Gerald Rubin: Right. Well the grooming part of our Personal Care that we moved last December came from El Paso. And what we were doing is we were moving the inventory, but we were using the same system and processes. When we moved the OXO from Monee, Illinois, that was the business that we had not shipped ourselves, it was shipped by a third party, the company that we bought OXO from during the transition. So that was new business to us. There was -- the volume of orders was much higher, the size of orders was much smaller. We are doing a lot more store-by-store packing. So, it is a much more complex business that we did not have experience with. The Personal Care remaining appliances that were currently moving, that move is approximately 8 miles from the old warehouse to the new warehouse. We are going to the employees that are currently shipping that business, will be working in the new warehouse shipping those customers, and we are not changing the systems or processes as a result of this move.
Kathleen Reed - Stanford Financial: Okay. That’s really helpful. Just, a last quick question, if you can give us an update on Revolution and Fusion. Just -- how much Fusion accounted for in Personal Care sales, if the pipeline was meaningful to the overall Personal Care sales in the quarter and then just give some color on Brut Revolution?
Gerald Rubin: We do not give out sales on particular products or product lines. We probably sell over 60 different lines, but I can tell you the Fusion tool introduction is successful and there are more customers coming on this year. And Brut Revolution from what we see initially, looks good. Sales are in most cases better than we had expected and these are from the major retailers. So, we are very optimistic about both of those.
Kathleen Reed - Stanford Financial: Okay, great thank you so much.
Gerald Rubin: Thank you.
Operator: And our second question comes from Gary Giblen, Brean Murray Carret.
Gary Giblen - Brean Murray Carret: Hi, good morning.
Gerald Rubin: Good morning Gary
Gary Giblen - Brean Murray Carret: Just wondering, have the -- is it possible the shipping problems would have any ongoing effect, in terms of customer issues or did the concession time that you mentioned, is going to take care of that or --?
Gerald Rubin: Gary, I think the shipping issues are behind us at this time. But when we were having the initial shipping issues, the focus was with the customers, was filling their current orders and there was not a lot of discussion about new business and new opportunities. Now that we are fulfilling the day-to-day customer needs, we are discussing with the customers and we are bringing on new products in the OXO area. So I think we -- and I think, we did have a short-term impact to our new sales and new rollout opportunities in OXO until we overcame our shipping issues. I do not feel that there is going to be long-term implication of that, but there was a short-term impact of it.
Gary Giblen - Brean Murray Carret: Okay. That helps a lot, in the release it talks about gross margin pressures on both Personal Care and Housewares, but is that just the warehouse related stuff plus the -- maybe the concessions or is that -- are there other aspects of it coming from trade pressures and pricing and what not?
Gerald Rubin: Well, just a little of all the things that you mentioned, there is increase, and of course always pricing pressures from the retailers, there is also increased costs for the products, but we believe they have stabilized because of copper prices and plastic and oil. But we are trying to offset all that by price increases, which we are putting in all divisions and as much as we can to offset it. So we are trying to balance the increased prices versus the increased costs.
Gary Giblen - Brean Murray Carret: Okay. Thanks, just a couple more. Some housewares' companies found that there was a kind of a slowdown of orders in November, because retailers got cautious having seen Wal-Mart's poor results and outlook in the early part of the fall. But your sales were excellent in both segments, so the -- in other words, did you see any glitch in orders, I mean is it possible that orders should have been even stronger except for that glitch?
Gerald Rubin: As you know, there were many quarters where we didn't have price increase at sale and yet we achieved an 8% sales increase in the quarter and that is all organic. We did not buy any new companies, so we were happy with the 8% goal. We have not been disappointed. I don't think we expected any more than the 8% for the quarter.
Gary Giblen - Brean Murray Carret: So that means you didn’t see any retail ordering pattern change or anything -- ?
Gerald Rubin: No, keep in mind that our third quarter is different than the calendar third quarter. Our third quarter was September, October and November, so November that you just mentioned was included in this 8% growth.
Gary Giblen - Brean Murray Carret: Yeah. Okay and just finally, yeah, I understand the tax rate is a range between 10% and 12%, but what brought it to the very low end of that range for this quarter, what was the swing factor?
Thomas Benson: Gary, this is Tom Benson. We have to file taxes and probably over 40 jurisdictions. So, what you do is you really -- it's a mechanical process, you calculate the taxes and all the jurisdictions and it rolls up. I feel that we are within our range for this year and as explained last year, it was lower because our European business as we had discussed last year, was not performing very well and we were having losses in that business, which is a high tax rate jurisdiction. In our US business, we did have -- a year ago in the quarter, we had an impact of the Tactica bankruptcy that got settled. Again that was a US tax jurisdiction impact which is another high tax rate jurisdiction. So, it really comes down to, you have to look at every single jurisdiction and look at the results for them, and sometimes if you have unusual events or either a better or a poor performance in an area that impacts the tax rate.
Gary Giblen - Brean Murray Carret: Understood. Okay, thank you.
Operator: And moving on, we’ll hear from Doug Lane with Avondale Partners.
Doug Lane - Avondale Partners: Hi, good morning everybody.
Thomas Benson: Good morning Doug.
Doug Lane - Avondale Partners: Tom, when you went over your prepared remarks, you gave three bullets for the reason the gross margins were down, and I’ve got most of the first one regarding a mix shift within OXO. Can you elaborate on that a little bit please?
Thomas Benson: Yes, in the Housewares segment which is OXO, they've been introducing some products that sell at higher price points in retail, trash cans, tea kettles items of that nature. Those items have a lower gross margin, okay? So that can bring your gross margin down.
Doug Lane - Avondale Partners: Got it.
Thomas Benson: Okay. Direct imports, the majority of our directs imports are in our Personal Care Segment is as when we sell to a customer on a direct import basis, we do not include below the line costs for warehousing, for distribution, we don’t -- at a lot of times it is sold at, we take possession of the goods and then we sell them at Oregon or in the far east and they pay the inbound freight. So, we sell those goods at a lower initial gross profit margin, because we are not incurring the below the line costs. Okay?
Doug Lane - Avondale Partners: Yes. Now, that’s very helpful. And still arguably then your SG&A, those sales would have been made up on the SG&A line without the associated expenses. So, I kind of assume that the operating margins on those sales are about the same as otherwise?
Thomas Benson: Yes, I think they are. The third reason that I gave, why gross profit was down a little, and that is what Jerry had mentioned also. Over the last year, we have had product cost increases and we are working very hard to work with our customers to pass some of those increases on. And hopefully the cost increases are slowing down, but we had the cost increases over the last year.
Doug Lane - Avondale Partners: So, hopefully then, if I am looking out to fiscal '08, I should believe in better pricing, if you are able to pass through this price increases and with stabilized product cost, then we should have a more favorable gross margin situation with that dynamic next year, but will we continue the same pace of direct shipping and will the OXO business continue to have a negative mix shift next year? I am just trying to get a feel for on the gross margin line excluding what’s going on with the warehouse, just on the gross margin line pricing and cost. Is there going to be more gross margin pressure going into '08 or is that going to alleviate a little bit?
Thomas Benson: I think that, as a company, we hope to expand our gross margin next year but, its not a slam dunk, there is a lot of factors in it. When you work with your customers on price increases, some of them do agree to it, but there is a time to implement them. And the cost side is -- we have purchase agreements on our purchased products but they may go out from three to six months and after that, we have to renegotiate with our suppliers. So, we do not have long term purchase commitments that locks in our cost side and as everybody knows, raising prices is a very difficult process.
Doug Lane - Avondale Partners: No question in this especially to your constituency, whereas, where pricing is obviously very difficult. Can you tell us where you are in that process, just early days? Have you seen acceptance? Has it been passed on at counters or are in the shelves yet? Just where are we in this pricing for each process?
Gerald Rubin: Well, some of the -- some that occurred in, starting of September - October, others started January 1, and it's continuing. It's not everybody has been increased, but it's ongoing. Depends on products, customers but it is a priority for us to increase the gross profit or at least keep it stable next year over what it was this year. Hopefully, we can increase it but certainly we don’t want it to go down. And that's why we institute price increases.
Doug Lane - Avondale Partners: And on balance, Jerry, you think low-single digits, mid-single digits, where do you think it will shape out at the end of the day?
Gerald Rubin: On a gross profit? Well, --
Doug Lane - Avondale Partners: No, on the percentage of pricing you should get in your sales increase next year?
Gerald Rubin: Low-single digits.
Doug Lane - Avondale Partners: Okay. And then on the OXO, I don’t -- we haven’t talked about new OXO products. But I would like to talk a little bit about OXO, if we could on two fronts. One on this mix shift you talked about Tom, is this something we should look for? In other words, continuing strong sales growth or perhaps some margin erosion with a negative mix shift like you just talked about? And then on a separate front, OXO was up 9% but it's sort of expected to be at double digit or maybe at mid-teens grow or was there something in the quarter that maybe gave it a hair cut, are we looking to it to get back to 15%, once you get up and running in Mississippi or do you think that the 10% number is a more realistic number going forward for OXO growth?
Thomas Benson: Next year, which is our next fiscal year, we are expecting double-digit growth in OXO.
Doug Lane - Avondale Partners: Double-digit, 10 or 15, what do you think?
Thomas Benson: Double-digit growth, I am not answering the rest.
Doug Lane - Avondale Partners: Okay.
Thomas Benson: In the fourth quarter that we are in, last year we had very strong new product introductions. We came out with the hardware line, we came out with the number of other introductions. So, year-over-year it is going to be very difficult to beat the sales that we had a year ago for OXO in the fourth quarter.
Doug Lane - Avondale Partners: Okay.
Thomas Benson: Longer-term, we expect double-digit sales growth for OXO.
Doug Lane - Avondale Partners: And then, where do you see margins? Do you see at this mix shift that you talked about carrying on through '08 or was that just this year's crop of new products and may be a different story next year?
Thomas Benson: Well, I think what we want to accomplish in all our businesses is stability of gross profit or slight growth. That’s what we are trying to accomplish. So, I don’t see a -- sometimes if they go to direct imports, what we are trying to do is overall, we are trying to achieve close to the same results, either on a direct basis or a direct import basis. And customers, they try that. They find out, what they need to do on it, and some people come back and the next year chose not to do it on a direct import basis. So, I mean, we work with our customers and they have initiatives to try to do different things. We work with them to accomplish it.
Doug Lane - Avondale Partners: Okay. And lastly, are you still paying a royalty to the previous owner of OXO or is that gone away now?
Gerald Rubin: I don’t think we’ve never paid any royalty to any previous owner.
Thomas Benson: What we do pay is, we pay royalties for the design firms that help us come up with products, that's how they get paid. They don't get any upfront money. But there are no royalties. We had a initial purchase price, there was no contingent purchase price or anything with OXO.
Doug Lane - Avondale Partners: Wasn’t there a management fee when they were running the business?
Thomas Benson: Well, we paid them for services transition fees and those -- that ended in last February. February of 2006 that ended.
Doug Lane - Avondale Partners: Okay. Thanks.
Gerald Rubin: Thank you.
Operator: And moving on, we will hear from Mimi Sokolowski with Sidoti & Company.
Mimi Sokolowski - Sidoti & Company: Hi, just a few quick questions. Most of mine have been answered. Jerry, I was curious, when, you have pricing pressure, how do you accomplish price increases, the next go around?
Gerald Rubin: Actually there are two phases to price increases. One is our new products, where if it is a new product and you are paying more for that product, you price it in for what you are going to sell the products for.
Mimi Sokolowski - Sidoti & Company: Okay.
Gerald Rubin: On older products, you just have to work with the retailer about raising prices, not only in our part but they have to raise their prices also. So, it's a give and take.
Mimi Sokolowski - Sidoti & Company: The ones that you have initiated thus far, are those with new products or are those with more mature once?
Gerald Rubin: Well, the new products, we never say that there are prices increase because that’s all built in.
Mimi Sokolowski - Sidoti & Company: Okay.
Gerald Rubin: When we say price increase, it's on the current product that we’re selling, that we’re trying to get increased prices on.
Mimi Sokolowski - Sidoti & Company: Okay. And you mentioned that you're pretty excited about TIGI Bed Head. Have you gotten any indications for product placement there? I mean, it seems like personal care or hair care appliances is an area where retailers wouldn't be quick to increase the shelf space?
Gerald Rubin: Well, the reason I tell you that I was excited is because we've shown it to certain customers in the mass retail business. They're very excited. They're going to make space for it. Also drug chains and --
Mimi Sokolowski - Sidoti & Company: Does that mean they would expand the shelf space for the category or would that cannibalize?
Gerald Rubin: Yeah. It would give us addition --
Mimi Sokolowski - Sidoti & Company: Okay.
Gerald Rubin: In two of the cases, there would be expanded shelf space. Not taking away from our current line, but we’re really excited about it, because Bed Head is a well known professional trend. It's sold in beauty salons and all across the country and somewhat in retailers. And we’re probably the first one in the history, I guess of personal care, that we're taking a professional line of products and selling them to retailers throughout the country.
Mimi Sokolowski - Sidoti & Company: Okay. Do you worry about erosion of the brand name then?
Gerald Rubin: We do not own the brand name. That’s something you have to ask the licensor or the licensee.
Mimi Sokolowski - Sidoti & Company: Okay.
Gerald Rubin: We’re going to try to maximize the sales as much as we can. We have -- on the TIGI, we have a license on the western hemisphere. So we'll be selling in Canada, in the US and then subsequently in Latin America. On the TONI & GUY, a couple years ago we did have that for Europe, with the new license agreement that we have for the western hemisphere. We have a worldwide license for TONI & GUY.
Mimi Sokolowski - Sidoti & Company: Okay. And the last question I had was for Tom. Thank you, Jerry. Tom, can you give the cash flow figures for the quarter. I don't know if I saw them in the press release but cash from operations and any sort of maintenance CapEx you had in the quarter?
Thomas Benson: That’s going to all be in our cash flow in the Q, that’s going to be filed later today.
Mimi Sokolowski - Sidoti & Company: Okay. I'll wait then. Thank you very much.
Thomas Benson: Okay.
Gerald Rubin: Thank you, Mimi.
Operator: And now we will hear from John Harloe with Barrow Hanley.
John Harloe - Barrow Hanley: I got to tell you, I am not trying to follow-up with some of the stuff that Doug asked and I might have some bad data. But it seems to me last quarter, if you go through the numbers pretty carefully, you come up with that you've got a price increase effective of about 4%. And that would be in your appliance business. And the other has -- so that’s one thing that implies that margins should be better. You got a 5% differential on what you are paying for OXO. He called it a royalty, and you said it’s not, but it’s still -- there is some real money involved there. And there are a couple of other things you would think to imply that margins would go up. So, it’s baffling to me that they actually go down, particularly with -- and you got the professional line, which I think is your highest margin business, should be an improvement year-over-year. So, can you add any more color to this, because those numbers -- there is something that takes away from this. And I can’t understand what it is unless it’s this direct import phenomenon?
Gerald Rubin: Well, just as Tom and I have tried to explain. The gross profit is a conglomeration of a lot of different things. There is the direct import where a lot of customers now have decided that they were going to pick up the goods in Asia, then United States. That doesn't mean we make less profit, we try to make the same profit by dollars, but since they are carrying all the cost of duties and transportation and distribution and warehousing, they pay that. So, of course, the percentage that we make is smaller, but then we don't have the all the other costs associated with it. On the other hand I didn’t follow about OXO being 5% less, it’s a constant everyday --
Thomas Benson: Let me go back in there.
Gerald Rubin: A dilemma trying to increase where we have to and where we can to increase the prices, I mean you alluded that somehow you -- that we increased the prices 4%. We never mentioned that. I mean it’s somewhere around -- a goal in the low digits, but I can’t tell you that we increased the prices 4% over the last quarter. It’s a goal of ours, but --
John Harloe - Barrow Hanley: Then -- you said that your appliance revenues last quarter were up 9.9%, and then you tell us that the unit growth was 4%. And don’t we know that you had a letter out to all your customers, where the first time company across the board price increase was about four or five months ago?
Gerald Rubin: Yeah, but they all didn’t take effect four or five months ago. We gave -- many of the customers gave them time to work out their inventories and that’s what I mentioned that some of them got started in September, some will start in January, and some in March when our fiscal year starts. So, the answer is all customers will get price increases, but not all items will get price increases. A lot of it depends on the customer, and are they taking new products, where we can make money. It’s a mix and I think on our side we did very well considering what goes on in China that the money exchange has dropped, like 5%, oil went through the roof, copper went through the roof. The metal products that we buy at OXO, the costs that went through the roof and so what you are seeing is a big effort on our part to maintain the gross profits by passing on the price increases. And on our side we think we did a heck of a job of considering what the price increases where, when we began the year last year. But some is subsiding. I mean it’s -- what I -- but there were a lot of cost increases from a lot of different factors last year.
John Harloe - Barrow Hanley: I've got a follow-up question, what are your plans with Epil-Stop. I noticed that your list of logos and stuff in your press release, that's in there?
Gerald Rubin: We are working on a national rollout this coming year and we think we have some great product and hopefully in the next quarter we will reveal that to everybody but we have shown it to major retailers who are excited about it is all new formulations, new packaging and we are excited about that also.
John Harloe - Barrow Hanley: Would that be sold on a direct -- sorry telemarketing thing as before or would that be --?
Gerald Rubin: No, we are getting mass retailers.
John Harloe - Barrow Hanley: Okay. Thanks so much.
Gerald Rubin: Thank you.
Operator: Moving on, we’ll hear from Amy Norflus with Pilot Advisors. Ms. Norflus, your line is open.
Gerald Rubin: All right. If there are no more questions, operator I would like to thank everybody for listening and participating in our third quarter conference call and look forward to our fourth quarter, which will be our year-end report, our next conference call which should occur in May.
Operator: I apologize we do have a few more questions in queue gentleman.
Gerald Rubin: Okay.
Operator: Okay. We’ll go to Steve Friedman with Wachovia Securities.
Steve Friedman - Wachovia Securities: Good morning, Jerry, Tom and Bob.
Gerald Rubin: Good morning Steve.
Steve Friedman - Wachovia Securities: I had a question. Tom, maybe you can clear this up for me. You talked about it would be difficult -- you talked about double-digit growth in the actual line and yet it would be difficult to match this quarter or fourth, maybe I didn’t hear that correctly, maybe you can clear that up for me?
Thomas Benson: No. I think you already did hear it correctly. What I said is that for the next fiscal year we are expecting double-digit growth. I said for the fourth quarter that we are in right now, we are expecting it to be difficult to match the prior year sales because in the prior year, we had significant new product introductions that are not repeating in this quarter. So, I think when you look quarter-to-quarter, you can get results that people say, why, why are they so much better or why are they so much off the prior year and that’s because of the timing of rollouts. I think when you look at a longer period of time, we expect double-digit growth in OXO and that’s what -- as we are putting our forecasts together and as we have all looked at things already that’s what we are expecting for next year.
Steve Friedman - Wachovia Securities: All right. Are you still as confident and now you did mention the higher price points for some of the products being rolled out in the OXO line, which could contribute to a little lower gross profit margin because of a higher price. Overall though, are you still as confident of OXO as you were when you originally made the acquisition that it’s going to be a significant contribution to Helen of Troy along with a good gross margin contributor to the overall mix?
Gerald Rubin: Steve, there is no question that we are excited about OXO, and we are very happy that we purchased it two years ago. The sales are going to be increasing. There are a lot of new products that are coming aboard. And if someone asks me, what are some of the most valuable assets that Helen of Troy owns, I would start with OXO. I think it’s probably the most valuable brand that we own. It doesn’t mean that the others are worth a lot less, but we have great brands and a lot of different categories, but the OXO brand is just a great brand and we’re just happy that we own it.
Steve Friedman - Wachovia Securities: Well, I know you are very optimistic and excited about the brand when you initially bought it, so would you feel that overall the product mix with OXO contributing next year should help the gross profit margin along with the new introduction of the Bed Head line?
Gerald Rubin: Yeah, no question that we are looking for OXO to be a big contributor. We are looking for the Bed Head line to be a contributor too.
Steve Friedman - Wachovia Securities: Okay.
Thomas Benson: Steve, this is Tom Benson. We are expecting sales growth and bottom line growth next year as we reported. I think it, when we look at gross margin as we explain, when you are doing direct imports, or doing this and that, it gets very complicated. Exactly the whole things get impacted, but overall we are expecting sales growth and bottom line growth.
Steve Friedman - Wachovia Securities: That’s good. Looking from where you plan to come in this year, your earnings per share expectation over $2 and sales of $660 million or excess, we would still be looking at 30% increase over this year. I would think that again looking at a stock that’s trading at 12 times or 11 times earnings right now, Jerry you might haves some thoughts on the valuation of the company stock?
Gerald Rubin: No, as you know there are some things going on in the plans where people are trying to buy companies and I was looking at one today and thought that if Helen of Troy was valued as the same as what they are paying for these other companies that are not as good of marketers as Helen of Troy, Helen of Troy stocks should be in the $40 range on a comparison basis to what people are out there bidding for companies for. That’s kind of my comment.
Steve Friedman - Wachovia Securities: Well and also going into the new fiscal year with the substantial decline we have seen on oil, shouldn’t that have a positive impact on a sort of double edged situation where may be the price increases on cost of goods should slow as well as retail demand be enhanced?
Gerald Rubin: Well, as far as the pricing, the lowering of oil will help stabilize the prices. Recently we have not received any new price increases, I think they are more or less stabilized and if oil does keep going down and a lot of our products are plastic, we will be asking for price reductions. But at least it is stabilize now, we can’t, we are not getting any major increases right now and, like I said, we may as the months go on be asking for decreases. So there is a positive there. How that impacts the retail sales, on the consumer side it’s hard to tell.
Steve Friedman - Wachovia Securities: Okay, than you very much.
Gerald Rubin: Thank you, Steve.
Operator: And our next question comes from Kathleen Reed with Stanford Financial.
Kathleen Reed - Stanford Financial: Hi, just a quick follow-up question. The other income was up positive, other income this quarter versus an expense last quarter. Can you just tell us what the big swing was in your other income line?
Thomas Benson: Kathleen, all those details are in the Q, we go through a comparison of this year versus last year.
Kathleen Reed - Stanford Financial: Okay, and last question is on your last 10-Q and may be this answer will be in there too, but if you could give it now that would be great. The inventory de-stocking was negatively impacting the Idelle Labs business. Was Idelle Labs positive in this quarter? You don’t have to say the amount but, if the sales for the Idelle Labs business was positive?
Thomas Benson: Our worldwide sales for Idelle Labs was positive this quarter.
Kathleen Reed - Stanford Financial: Okay, great. Thank you.
Gerald Rubin: Thank you.
Operator: Next question Doug Lane, Avondale Partners.
Doug Lane - Avondale Partners: Yes, hi, quick follow-up question. Jerry are you looking to replace the position that Chris Carameros vacated last year?
Gerald Rubin: Well, what we have is as we announced on Monday, Dick Dwyer is joining us in Business Operations and you can read all about that, I don’t want to go into it. And that was some of what Chris did and there will be another announcements coming.
Doug Lane - Avondale Partners: But what if Chris is level or with a board seat?
Gerald Rubin: Well I can’t you that right now.
Doug Lane - Avondale Partners: Okay fair enough. Thanks Jerry.
Operator: And you have a follow-up from Mimi Sokolowski, Sidoti and Company.
Mimi Sokolowski - Sidoti & Company: Thanks. I just wanted to, probably for you Jerry, I am trying to get an idea of what we could expect from OXO’s gross margin in fiscal 2008. Can you give me an idea of how Alex and his team are motivated. How they are incentivized? Whether it would be top line goals or certain returns, inventory management?
Gerald Rubin: Everybody who works for Helen of Troy in management is compensated based on profit not on top line.
Mimi Sokolowski - Sidoti & Company: Okay.
Gerald Rubin: And that includes me. So, everybody is looking for the bottom line, and that's how we all get salary and bonuses.
Mimi Sokolowski - Sidoti & Company: Got you. And one quick one, are you considering any potential asset sales?
Gerald Rubin: Potential asset sales, no. I’m looking for acquisitions if you know any. We are building up our war chest and we're looking for acquisitions.
Mimi Sokolowski - Sidoti & Company: Alright. Thank you very much.
Gerald Rubin: Thank you.
Operator: And we have the follow-up from Steve Friedman, Wachovia Securities.
Steve Friedman - Wachovia Securities: May be this should be for you Tom, it was a question I forgot to ask. Is the direct import program and usage of your end consumer impacting at all or the efficiency or the usage of the new warehouse or would it?
Thomas Benson: I think that in the last quarter direct imports as the percentage of our sales year-over-year has grown. But it’s not such a large percent that it is effecting our warehouse operations. It’s not like we have -- as we mentioned, we are continuing to move into the warehouse. Right now we have the unused capacity. When we move in there, we feel we are going to be utilizing the warehouse to a capacity that is efficient. We are not going to have a lot of room available, and we are not going to have a lot unused.
Steve Friedman - Wachovia Securities: So, the direct import, should that increase? You don’t foresee that is impacting the capacity utilization of the new warehouse?
Thomas Benson: No, we hope to continue to grow our sales, as Jerry said we want to do acquisitions. We want to -- we hope that our growth in other areas will be greater than the direct import growth increase.
Steve Friedman - Wachovia Securities: Thanks, again.
Gerald Rubin: Thank you, Steve.
Operator: And gentlemen there are no further questions. I’ll go ahead and turn the call back over to Gerald Rubin to conclude.
Gerald Rubin: Operator, are there any more calls?
Operator: We have nothing further.
Gerald Rubin: Okay. Well, thank you again for everybody that participated in this conference call. And I am looking forward to speaking to you when we finish our fiscal year and report early May. Thank you, again.
Operator: Ladies and gentlemen, if you wish to access the replay for this call, you may do so by dialing 888-203-1112, with replay pass code of 9456066. This concludes our conference call for today. Thank you all for participating and have a nice day.